Operator: Good day, ladies and gentlemen. Welcome to the Goldcorp Inc. 2014 third quarter conference call for Thursday, October 30, 2014. Please be advised that this call is being recorded. I would now like to turn the meeting over to Mr. Jeff Wilhoit, Vice President, Investor Relations of Goldcorp. Please go ahead, Mr. Wilhoit.
Jeffrey Wilhoit: Thank you, Melanie, and welcome to the Goldcorp third quarter conference call. Among the senior management in the room with me today are Chuck Jeannes, President and Chief Executive Officer; Lindsay Hall, Chief Financial Officer; George Burns, Chief Operating Officer; and Russell Ball, Executive Vice President, Capital Management. For those of you participating on the webcast, we have included a number of slides to support this afternoon's discussion. These slides are available on our website at www.goldcorp.com. As a reminder, we will be discussing forward-looking information that involves unique risks concerning the business, operations and financial performance and condition of Goldcorp. Forward-looking statements include, but are not limited to, statements with respect to future metal prices, the estimation of mineral reserves and resources, the timing and amount of estimated future production, costs of production, capital expenditures, and costs and timing of the development of new deposits. Forward-looking statements are subject to known and unknown risks, uncertainties and other factors that may cause the actual results to be materially different from those expressed or implied by such forward-looking statements. Accordingly, you should not place undue reliance on forward-looking statements. With that, I will now turn the call over to Chuck Jeannes.
Charles Jeannes: Thanks, Jeff. And thanks, everyone, for joining us today. There is a lot to discuss about our results this quarter, but I have to start with the fact that we've commenced production at two new outstanding gold mines in just the last three months. Production commenced at both Cerro Negro and Éléonore on schedule and on budget, and both are ramping up towards commercial production largely as planned. In an environment where very few new mines are being successfully commissioned, we at Goldcorp are all very proud of this achievement. And I want to recognize the great work of our teams in Argentina and Quebec as well of the capital projects group in Vancouver. As we look forward, Cochenour, the last of our three new gold projects also remains on track towards achieving production in the third quarter and next year. As planned, we expect to source ore from our development headings at Cochenour very soon, so we'll actually be processing the first gold there before yearend. At the other end of the spectrum, our gold production during the third quarter was below expectations. However, the gold didn't go anywhere. The production is delayed rather than lost. So as has been the case for us in prior years, because we are growing production, we expect a very strong fourth quarter finish and to achieve our 2014 production guidance. Due to the challenges with the high wallet El Sauzal and the earlier shutdown at Los Filos, we expect to come in at the low end of our guidance of between 2.95 million and 3.1 million gold ounces. On our second quarter conference call, we said that we would see higher all-in sustaining costs in the second half of the year than in the first half, due to planned higher sustaining capital spending, but that we still expected to meet our guidance for the year. That certainly remains the case. And with year-to-date all-in sustaining cost of $918 per ounce, we continue to expect to come in at the low end of our cost guidance range between $950 and $1,000 an ounce. Our reported earnings in the third quarter were affected by a number of unusual items that Lindsay will walk through. But our overall financial performance was solid, with adjusted operating cash flow of $399 million. Our capital spending is expected to be well within our guidance range between $2.3 billion and $2.4 billion. During most of this year, debate over when and how the U.S. Federal Reserve will begin to raise interest rates helped fueled the downward pressure on gold price, and we're seeing that today. As we stated frequently, Goldcorp is positioned for success in the current metals price environment or even lower, but I believe that this focus on short-term gold price catalyst ignores an important trend of much greater long-term importance. To put simply, our industry is not discovering as much gold as it once did, despite a significant increase in exploration investment. As such, it's reasonable to conclude that global gold production is facing a sustained multi-year decline that cannot help, but positively impact the supply demand fundamentals, and therefore the price of gold. In other words, I don't believe our industry will ever mine as much gold as we do in 2015. And so as to price, our expectation is for gold to trade in a fairly narrow range over the next six to 12 months. But I expect supply and demand factors to play an increasingly important role in the way gold is valued over the longer term. Given declining supply and continuing strong physical demand indicators, we are bullish on long-term gold prices. In this environment, I believe the market will place a premium on those gold companies with assets that are long-lived, low-cost and exhibit strong potential for reserve growth. On these metrics, Goldcorp compares very favorably with our peer group. We're quite pleased that Goldcorp has managed its balance sheet and liquidity such that we are one of the only gold companies that has not cut its dividend. We have funded the acquisition and construction of our new gold mines through operating cash flow and the divestment of non-core assets, as opposed to onerous debt and equity dilution. This disciplined approach along with the free cash flow projected for 2015 and beyond, as the new mines become net contributors to our financial results, means that Goldcorp will retain the flexibility to both, fund continued grow and also return value to our shareholders through a sustain dividend. Looking forward, this is a busy time at Goldcorp. We'll of course be focused on safely delivering the production, we expect in the fourth quarter at low all-in sustaining costs. The ramp ups at Cerro Negro and Éléonore will continue towards commercial production, will be advancing Cochenour towards production next year and will be putting together the results from some of our exciting exploration work around the company, such as at the HG Young project at Red Lake, the deep skarn in Peñasquito and lower mine drilling in Éléonore. We're in the midst of defining our 2015 budgets and updated mine plans and we look forward to providing our expectations for 2015 and beyond early in the New Year. So a lot of work ahead, but the one thing that stands out is that with new production coming on, lower expected all-in sustaining costs going forward and capital spending on the projects coming to an end, we should be generating stronger financial returns including free cash flow in 2015 and beyond, even in a flat gold price environment. So put simply, we're all very excited about the future at Goldcorp. And with that, I'll turn it over to George, to discuss the operations in a bit more detail.
George Burns: Thanks, Chuck. Goldcorp mines delivered third quarter production of 651,700 ounces at all-in sustaining cost of a $1,066 per ounce. Ignoring the non-cash impairment at Peñasquito, all-in sustaining cost was around a $1,000 per ounce. One of the big quarter-on-quarter changes was at Peñasquito, due mine plan sequencing, which included processing of stockpiles. We are looking forward to a strong fourth quarter at Peñasquito supporting our expectations to achieve our annual cost and production guidance. Several of the mine successfully completed initiatives to position the operations for the rest of the year and into 2015, including completion of the 2014 de-stress program at Red Lake, leach pad construction at Los Filos, and integrating Hollinger production at Porcupine. El Sauzal remained a focus following the suspension of operations due to an instability of the Trini pit high wall. For safety reason, we have made the decision to accelerate our closure plan from the first quarter of 2015 to the fourth quarter of this year with an estimated loss of about 60,000 ounces of gold production in 2014. Our focus now turns to making the mine a successful enclosure and reclamation, as it was in operation. Alumbrera also contributed to our changes during the quarter, due to a geotechnical event to suspended operations in the pit for the final six weeks of the quarter. Operations have resumed in early October. With first gold now poured at Cerro Negro and Éléonore, the teams at site are working well to hand up responsibilities to the respective operations groups. All-in sustaining cost of $1,066 per ounce increased as expected compared to the second quarter, driven by higher plant sustaining capital spending. As Chuck stated, we remain on track toward the lower end of our cost guidance range. Year-to-date, cost performance at our mines reflect the ongoing success of our Operating for Excellence program. Through just the first nine months of this year, savings from [indiscernible] have nearly doubled compared to our previous $100 million projection for the entire year. It has been gratifying to see these successful initiatives evolve from the conceptual stage to execution. I believe we are still in the early stages of this effort and we have much more to come. Turning to our operations and starting with Red Lake. Safe gold production increased to 99,600 ounces, while all-in sustaining cost decreased to $955 per ounce. I should note that we had about 9,000 ounces that we're not reported at the end of the quarter, due to a furnace failure that was remedied shortly thereafter. Increased production over the prior quarter was a result of higher grade and tons from the high grade zone, following the completion of the planned de-stress activities that contributed to increase stope availability. With the de-stress program completed, we expect a strong fourth quarter from this mine. Drilling continued from the surface on the HG Young target during the quarter was strong exploration results. This is an exciting new target about 1.5 kilometers Northwest of the Campbell complex. Rehabilitation is focused on the 14 level of Campbell complex, which will provide access to the HG Young underground exploration time and drilling during early in 2015. At Peñasquito, safe production was 129,500 ounces in the quarter at an all-in sustaining cost of $1,142 per ounce. Production decreased compared to the prior quarter as a result of mine sequencing. All-in sustaining cost increased over the prior quarter due to lower gold production, higher sustaining capital and higher operating cost attributable to a reduction in carrying value of the long-term stockpile. Grades and recoveries mined from the pit were as planned. Construction of the Northern Well Field is progressing with completion on track for mid-2015. In the meantime, we are seeing no restrictions due to water availability. The pre-feasibility studies for concentrate enrichment process and pyrite leach projects continue to advance and are expected to be completed near yearend. These projects have the potential to unlock significant long-term value at Peñasquito. In closing, another safe quarter production sets us up for a strong finish to the year. With that, I'll turn the call over to Russell, for a review of our projects.
Russell Ball: Thanks, George. Good day to those on the call. As Chuck noted, it was a busy quarter for the projects team, with the key milestone of first gold having been achieved in Cerro Negro and Éléonore. The third quarter was a significant step forward on our journey to derisk and deliver the industry's leading growth profile. This doesn't happen without talented and dedicated people, and I wanted to thank the teams at Cerro Negro and Éléonore for their dedication and commitment to delivering these projects safely and in line with our cost and scheduled commitments. We begin at Éléonore in Northern Quebec on Slide 13. We report first gold from the gravity circuit on October 1. The floatation, leaching and tailings floatation circuits have all now been commissioned, and we are progressing up the ramp up curve in line with expectations. We continue to expect to produce between 40,000 and 60,000 ounces this year and should be able to declare commercial production in early 2015. With construction essentially complete, initial capital cost guidance range remains unchanged between $1.8 billion and $1.9 billion. At quarter-end, the exploration ramp reached depth of 788 meters and the production shaft was approximately 65% complete through a depth of 975 meters. Drilling continues to focus on exploration and infill drilling in the lower mine, where we are seeing very positive results. The next Slide shows our timeline, which remains unchanged from the previous quarter, with the exception of first gold having occurred on October 1. The project remains on track to declare commercial production in the first quarter of 2015, and to ramp up to design throughput of 7,000 tons per day in the first half of 2018. We continue to evaluate opportunities to accelerate this schedule. The next slide shows some recent photos, including the team celebrating the first gold pour milestone earlier this month, and the first 50 ton haul truck that will transport tailings to the storage facility. Turning to Slide 16, at Cerro Negro in Argentina. We poured first gold on July 25, the key milestone for the project. After a challenging August, in which mill availability and throughput were limited by temporary power-related issues, upsets in the flotation and leach circuit as a result of those power issues, and instrumentation and process control system issues, I'm happy to say, we had a much better September and that trend has continued in October. For the third quarter, we produced 19,000 ounces of gold and 234,000 ounces of silver. Based on the continued improvement in operating performance, we expect to be in a position to declare commercial production by the end of this year. On the construction site, we essentially complete, although we still have to complete some of the initial scope we deferred to 2015. Initial capital cost estimate has been narrowed between $1.65 billion and $1.7 billion. The construction of the high voltage power line is now complete, with commissioning underway by the Argentinean Power Authority. Energization of the substation and permanent power from the grid is now expected by the end of the fourth quarter. Underground development at Eureka in Mariana Central during the quarter totaled 2,300 meters. With a considerable focus this quarter, we're getting backfill placement and underground services caught up. We expect to resume development of Mariana Norte in early 2015. Production continues at Eureka, with production mining at Mariana Central expected to commence in early 2015. The old stockpile at quarter end was approximately 548,000 tons, at an average grade of almost 9 grams per ton gold and a 150 grams per ton silver. Slide 17 shows our timeline for achieving commercial production later this quarter. The only significant deliverable as I mentioned from a construction perspective is the commissioning of the permanent power system. The mill is running very well and we have already had extended periods, where we run the plant above the nameplate design throughput of 4,000 tons per day. Slide 18 shows some recent photos from the site, including the main substation, coarse ore stockpile and warehouse under construction. Turning to Slide 19, at Cochenour and Red Lake. Initial gold production from development ore remains on track for later this quarter with no change to the initial capital cost estimate of about $500 million. The haulage drift and ramp development to the 3,540 foot level, were completed during the quarter, in line with our schedule. On the exploration side, drilling continues on the Bruce Channel deposit with eight drills currently drilling from underground. Total of 28,300 meters were drilled in the quarter, and the results are meeting our expectations. At this point, the construction efforts is essentially complete and we will be turning the remaining mine development over to George's operating group in early 2015, to help advance the integration of Cochenour into the larger Red Lake complex. Slide 20 shows the timeline for Cochenour, which remains unchanged and we continue to expect commercial production in the second half of 2016. As we turn Cochenour, Cerro Negro and Éléonore over to operations, the project's team is focusing on advancing a number of organic opportunities within the company, including the CEP and pyrite leach projects at Peñasquito, TVZ underground at Porcupine and Camino Rojo and El Morro. Before tuning the call over to Lindsay, I wanted to take a couple of minutes to discuss our El Morro project in Chile. On October 7, the Supreme Court overturned the decision of the court of appeals, thereby invalidating the environmental assessment resolution, commonly referred to as the RCA. As a result, all project development activities have been suspended, while we evaluate the path forward. We remain committed to open an transparent dialogue with all stakeholders and we'll continue to engage at the local, provincial and federal level to determine how we develop the projects, so that all stakeholders benefit from the responsible development of El Morro. This will take time, but we believe it can be done and Goldcorp can move this project forward. With that, over to Lindsay for the quarter's financial review.
Lindsay Hall: Thanks, Russell. Turning to the financial results for the quarter. Adjusted net earnings totaled $70 million or $0.09 per share compared to $164 million or $0.20 per share in the second quarter. The drop in our adjusted earnings was primarily attributable to the $36 million or $0.04 per share after-tax non-cash reduction in the carrying value of low grade stockpiles at Peñasquito, lower revenues due to lower realized prices and a higher effective tax rate in the third quarter. To calculate adjusted net earnings, we start with our reported net loss of $44 million or $0.05 per share, add back the El Sauzal and derivatives losses of $13 million and $14 million respectively, plus the non-cash foreign exchange losses on the translation deferred income tax assets and liabilities of $85 million included in the tax provision. The detailed calculation of our adjusted net earnings is disclosed on Page 43 of our MD&A. Consistent with previous quarters, we did not make any adjustments to the non-cash share based compensation expense, which amounts to $90 million or $0.02 per share. The income tax provision used as a basis to calculate our third quarter adjusted earnings included in the MD&A has an applied tax rate of a negative 3% compared to an effective tax rate of 39%, when we proportionally consolidate Pueblo Viejo and Alumbrera. To calculate the effective tax rate, one needs to adjust the book income tax expense of $83 million for the following items. Subtract the foreign exchange losses on deferred income tax assets and liabilities of $85 million, add back the income tax expense related to the third quarter earnings of PV and Alumbrera of $39 million and the tax impact on the impairment of the mining interest of $9 million. Then from earnings before tax, the following adjustments are made. Deduction of net earnings of associates of $15 million and stock-based compensation of $90 million, representing permanent differences, as these items will never be taxable. And add back the earnings before tax for PV and Alumbrera, $47 million, plus the impairment of mining interest of $24 million resulting in an effective tax rate of 39% for the quarter. The outlook for 2014, effective tax rate remains at 26% for the year and 36% for the fourth quarter, excluding the foreign exchange impact on deferred taxes. Turning to provisional pricing. We have negligible provisional pricing impacts at Peñasquito and a negative $4 million at Alumbrera. The provisional sales at September 30 at Peñasquito include 78,000 ounces of gold priced at $1,217 per ounce, 3.4 million ounces of silver at $17.11 per ounce, 40.6 million pounds of zinc priced at $1.04 per pound, and 22.5 million pounds of led priced at $0.94 per pound. While at Alumbrera we have 15,600 ounces of gold priced at $1,213 per ounce and 20.2 million pounds of copper priced at $3.03 per pound. All-in sustaining costs for the third quarter were $1,066 per ounce compared to $852 per ounce in the prior quarter. The all-in sustaining costs for the third quarter were impacted by the reduction in the carrying value of low grade stockpiles at Peñasquito of $41 million or $64 per ounce. Backing out this $41 million, our third quarter all-in sustaining costs are close to $1,000, which is consistent with our expectations and allow us to come in at the lower end of our guidance between $950 and $1,000 per ounce of gold for the year. Turning to cash flows and balance sheet. We continue to generate strong adjusted cash flows from operations that amounted to $400 million or $0.49 per share. During the quarter, we repaid $863 million of a convertible senior note, which matured August 2014, leaving $2.5 billion of long-term debt outstanding. We invested $532 million at both our operating mines and projects and paid a $122 million in dividends of this quarter. Of the $532 million, 49% of the spending related to our capital projects; a $103 million and $155 million at Cerro Negro and Éléonore, respectively. With $428 million in cash, plus $1.45 billion available on our revolving credit facility, our liquidity is more than adequate. The ramp up of gold production at Cerro Negro, the on schedule commencement of gold production at Éléonore and our portfolio quality mines support our expectation in spite the challenges we had during the year due to the work stopped at Los Filos and the accelerated mind closure plan at El Sauzal that we are expecting a strong financial finish to the year. As we complete our major capital spend on our new mines during the fourth quarter, our balance sheet is in great shape and with 2015 forecasted to generate free cash flow, we are well-positioned for the future. With that, I'll turn it back to you, operator, for questions.
Operator: (Operator Instructions) Our first question is from Andrew Quail with Goldman Sachs.
Andrew Quail - Goldman Sachs: My question, first one is on the Cerro Negro, and obviously going to permanent power, what sort of trends are you seeing in cost down there already. I know its early stage, but just be hopeful. And also, are you seeing any sort of help from the falling oil price. And when you're doing with power, what sort of split will the power be of total cost or total power cost between grid and diesel.
Russell Ball: Andrew, you've asked a couple of questions and I'll try to take the ones I recall. We all largely spot-based, the big variable being exchanged rate obviously in Argentina, as we convert the U.S. dollar prices essentially into that. Right now, the cost of running the diesel are about $2 million a month. So when we look at on still capacity, somewhere around 20 meg is what we'll be drawing and I believe the contracted is roughly $0.11. The intention is to run fully on good power. Again, we have to have that hooked up here before the end of the quarter. And so the savings if you want will be roughly $2 million a month as we transition off a diesel onto permanent power.
Charles Jeannes: Andrew, this is Chuck. I guess the cost question for Cerro Negro, so like any new mine there is a lot of things going on right now, lot of moving parts and we are in that phase where we are basically discovering a lot of the cost trends ourselves relative to what was planned for in the feasibility study. And I can just say that a lot of that is impacted by the inflation situation in Argentina and the timing of devaluation of the Peso. And so we've got a big kick, a help from the devaluation in January and you recall that, that essentially cut our or contributed to us being able to cut our capital spending by $100 million. The stress is building backup again. There is a big spread between the official rate and the rate on the street. And so we look forward to news in that regard coming forward in terms of devaluation.
Andrew Quail - Goldman Sachs: And just a second one on Éléonore. Any sort of, and again, I know it's really early, but are you guys getting any sort of relief from the weakness in the currency. And can you guys just remind us how much of cost is incurred.
Russell Ball: Predominantly, all of the operating cost are Canadian dollar denominated. I think our assumption Lindsay for the balance this year was a $1.10. So roughly in line with the way we are. So I'd say that those numbers that we provided on Éléonore reflect roughly the current exchange rates. So we clearly will see come on the operating side as we go forward.
Operator: The following question is from Jorge Beristain of Deutsche Bank.
Jorge Beristain - Deutsche Bank: Just following up on the nature of the write-downs -- sorry, better put that or, stockpile deferral at Peñasquito. Could you just explain, is that tied at all to the write-downs that you saw in the fourth quarter of 2013 due to the change in the mine plan there? And I am just trying to understand was this really related to the dip that we saw in the gold price in the third quarter that you guys made the decision to push back those stockpiles or what was driving that? Was it sequencing or reaction to the metal's price?
George Burns: Its sequencing. So as always, in our minds, we're focused on cash flow and the best ore goes in first and so the low grade stockpiles basically have been pushed out further into the life. And as a result there is an accounting trigger, so that's it.
Charles Jeannes: The way I look at this, and my glass is half full, but this really is good news, because it means that we found higher grade and better material to put through the mill rather than those low grade stockpiles and they've been pushed out and then on a time value of money, that means there is an accounting charge. But what you'll see, and of course that's non-cash charge, what we expect to see going forward at Peñasquito is incrementally improved performance as a result of that better material that we've located and sourced for the mill.
Jorge Beristain - Deutsche Bank: And understood from a net present value point of view. What I'm just trying to understand is if you guys took the write-downs in the fourth quarter, why this would generate a new write-down? And is this it, and just trying to establish kind of like what the new normal is at Peñasquito? Are you through with these kind of write-downs?
Lindsay Hall: Since George is driving the mine plan, I'm driving the accounting. As Chuck and George have alluded to, you had a better mine plan, so you pushed the stockpile to the backend of the mine life, which is the right operational effect. So that's part of the $40 million or $55 million write-down or $36 million after-tax, time value money. The other thing is that we look at stockpiles on a net realizable value every quarter, so some of it, we look at the value and the stockpile and some of the loss attributable to the write-down and the stockpile is recognizing a less few ounces in this low grade stockpile, plus pushing it out to the backend. So that's the accounting logic driving this write-down, and it's just an improved life-of-mine plan, pushing the stockpiles out, recognizing less ounces perhaps in the stockpile. And we're quite comfortable with it. So it has nothing to do with really metal prices per se or anything to do with our impairment on Peñasquito in the last year.
Charles Jeannes: And I should add that, in fact we've been consistent with the metal prices that we've been using $1,200 for this year and $1,300 long-term on all of the numbers that we provided to you so.
Operator: The following question is from Patrick Chidley of HSBC.
Patrick Chidley - HSBC: Just I wanted to ask some detailed questions on Peñasquito. Just you mentioned, in fact you demonstrated that we're looking for a very big quarter in the fourth quarter. We can see where some of that's coming from in terms of Cerro Negro and the contribution from Éléonore, but must be something else that's growing. Is Peñasquito due for much higher grades in the fourth quarter?
George Burns: We're definitely looking for a strong quarter really at all of our mines. Peñasquito, yes, we had a really good second quarter. We're looking for similar results in the fourth quarter. Red Lake's another cornerstone mine for us, and we're looking for an outstanding quarter coming out of Red Lake relative to the prior three. And I'll just tell you, if you look back to last couple of years, you'll see a pretty good trend at Goldcorp, where we have strong fourth quarters and we're looking for that to occur this year, and it's really contributions from everyone of our mines.
Charles Jeannes: If I can just add Patrick, the thing at Red Lake is that as you know we have to do this de-stress activities to open up the high-grades zone. And that was all completed during the last quarter. And so the high-grade zone is now fully available to us. And so it's not just trying to get more tons or more grade, this is in consistent with the mine plan based on those de-stress activity.
Patrick Chidley - HSBC: And just a quick question then on Alumbrera, you mention that it was down for the last, especially half of last quarter, last six weeks and just wanted to find out, are you back into normal production there or is it going to be -- for the fourth quarter is going to be rather weak again?
Charles Jeannes: We're expecting a strong fourth quarter. So right at the beginning of the fourth quarter, we actually got the second ramp three established access to the bottom on the pit. So we're once again feeding the mill from fresh ore out of the pit rather than low grade stockpiles, so strong quarter coming from Alumbrera.
Patrick Chidley - HSBC: And last question just quickly on Cerro Negro. Lower ore throughput there, maybe I missed it, but what was the story there in terms of the mill throughput and is that sort of something that is going to be obviously higher in the fourth quarter, higher rate?
Russell Ball: We had some issues around the diesel generators and the ability to keep them running with some off-spec diesel, some control issues in the plant from an instrumentation perspective that upset the circuit, we have to shutdown and get that back on track. So as I said, August was a challenging month, but we saw a great turnaround with some additional help from our teams here helping out, and in October continues. So as a result of the challenging August we'll be at the lower end of that 130,000 to 180,000 guidance, but as I said, we see no restrictions on the plant. We can run the plant for extended periods at 4,000 ton a day. So we feel very good. And maybe I'll ask George for his perspective since he's going to own it pretty soon.
George Burns: Yes. I mean the ramp up, I would say, we had a bit of slow start, but it's been running really well the last six weeks. We're consistently beating our throughput targets. Recoveries look good. And we're set up for a good fourth quarter and a good 2015 out of that new plan.
Operator: The following question is from Greg Barnes of TD Securities.
Greg Barnes - TD Securities: Just, I don't want to flog a dead horse, but Cerro Negro again, the mining rates seems quite low relative to the 4,000 ton a day mill. And I know you're having some problems getting miners. How do you see that evolving over next year or so?
George Burns: You're right. Our ramp up of getting qualified miners has been a challenge. I think early in the year we had a contractor on site that was removed and so we're in that process of bringing in support to train miners and ramp up our experience level on the underground and things are headed in the right direction --
Charles Jeannes: This is Chuck. I just want to apologize to everybody. We had some technical difficulties with the outbound phone lines here in Vancouver in this building, so had just reconnected. I hope there is people still listening. And if so operator, let's go back to the questions. If Greg Barns is available we can go back and continue the question that he had asked.
Operator: Mr. Burns your line is now open.
Greg Barnes - TD Securities: Yes, I am still here. Go ahead.
George Burns: Thanks Greg, sorry about that.
Russell Ball: Greg, so just following on from George, I don't recall exactly where we cut off, but we have at the end of the quarter roughly a 500,000 tons stockpile, so the plant in the mine sequencing reflects us consuming that stockpile roughly by the end of the third quarter depending on how the mill perform. So we're looking at bringing on additional production at our Mariana Norte. Remember, we suspended development of Mariana Norte last July, and will be back in resuming developments in early 2015. So the stockpile is the immediate [indiscernible] and long-term is to get all three of the mines up to full development rate.
Greg Barnes - TD Securities: The second was on Red Lake because tonnage mill there has come down. Quite a large amount in last couple of quarters. Is that now around 160,000 tons a quarter. Is the more the rate you plan on going forward or is that going to come back up again?
George Burns: We're expecting a stronger fourth quarter in terms of mill throughput and gold production. Looking at the bigger picture, we are transitioning Campbell's ramping down and the project over it, Cochenour is ramping up. So if you're looking broader, throughput is down from where we were a few years back and it will be ramping up as Cochenour comes on in the short term. Look for a stronger fourth quarter both on tons grade and gold production.
Greg Barnes - TD Securities: Just a bigger quick question. With the two last drilling projects done effectively in the next six months and the growth peaks I guess in 2016, what are you thinking beyond that. I know you've got Camino Rojo and El Morro, but does it bake a long-term projects. What are you thinking in the interim.
Charles Jeannes: We'll, we've got a lot of organic growth opportunities. And if you look at our standard corporate presentation on the website, there is a slide there that shows them all. And one of the ones, just back to Red Lake that I am very excited about is HG Young. We look at Red Lake as a 400,000 to 500,000 an ounce a year producer into the long-term and as we bring Cochenour in, that's offsetting the losses that we're seeing right now at the Campbell side and as we get deeper the high grade zone and it gets a little skinnier, so Cochenour is just in time, but HG Young is the kind of thing that could really help us supplement high grade feed to those mills. If it ends up being big enough, it could even justify a mill expansion. So I feel a lot better about the long-term future of Red Lake having made that discovery. But that's one. And of course, the CEP and Pyrite Leach projects at Peñasquito are probably the biggest in terms of both the capital spend and the impact of the company, the economic value and we're finishing up pre-feasibility studies on those right around yearend and you should be hearing some news early in the year on that. And then we've got a variety of other things around the company in terms of moving the mill from El Sauzal down to Los Filos and expanding the underground down there, and a lot of moving parts, but we're quite comfortable with the organic portfolio that we have, which also includes, of course as you said, the bigger projects like Camino Rojo and El Morro. Having said that, we always keep our eyes out for opportunities outside the company and we'll continue to do that as well.
Operator: The following question is from David Haughton of Bank of Montreal.
David Haughton - Bank of Montreal: In George's comment, I hear he was saying that water is not so much an issue at the moment at Peñasquito. And it's pretty clear that you've got about the 115,000 tons a day throughput on the mill. Is that something that we should be thinking about even ahead of the connecting up with the well field that you can sustain that kind of throughput?
George Burns: So yes, the nameplate for the Peñasquito mill is 130,000 tons and we never got to sustain that, water got in the way. And so the team at Peñasquito is focused on debottlenecking. And we have throughputs up. As we look at budget and our long-term plan, we'll be looking for opportunities to deliver additional ore. I think at the beginning of the year, when we put our new life-of-mine plan together, the mine was the bottleneck. And so the throughput was lower than nameplate, largely due to the mine plan. You can see, our sustaining capital went up during the quarter at Peñasquito and part of it was mining equipment. So we'll be focused on putting together revised mine plan and there are opportunities to push that throughput up again. And as you stated, the water is in good shape. We've put contingencies in place to sustain the current production rates. Once that Northern Well Field is completed mid next year, we'll have sufficient water to ramp it up to further assuming the mine production can meet it. So I don't have a number for you; just look forward to next year that we'll be focused on pushing that throughput up. And I think you can tell from the current results, we're exceeding the 115,000, 120,000 ton a day for a pretty good long stretches. So there is upside there.
Charles Jeannes: I was just going to remind everybody, David, that the new life-of-mine plan technical report that we filed for Peñasquito earlier this year, assumed a long-term run out at a 115,000 tons a day. So there is upside there.
David Haughton - Bank of Montreal: And whilst we're at Peñasquito, you had mentioned advanced work on CEP and Pyrite with decision, I guess after those studies have come out. If you're thinking that you'd do one or both, what sort of should we be thinking about there? Are they sequential or together?
Russell Ball: We had them separately as we went through pre-fees, which as Chuck said is going to be done around yearend. We're actually combining and integrating those two projects. So going forward starting in '15, we'll combine those two projects into one, because there is some synergy building in both at the same time. So we look to combine them at the feasibility stage and report those, write them out, but we'll manage them as one project.
David Haughton - Bank of Montreal: And previously we've been guided that it could be around $1 billion mark. Is that still something that is reasonable to think about?
Russell Ball: Yes. As George said, we'll be done around yearend and we'll give you some updated numbers early in 2015 or maybe on the first quarter, quite frankly, because we need to get to some of our processes. But that order of magnitude is still within reason.
David Haughton - Bank of Montreal: And with a premature closure now of El Sauzal, Chuck had mentioned potential to move the mill to Los Filos. Does that have to go through a planning process for you to think through or is it something that seems to be fairly obvious as a potential to add value there.
George Burns: It's an obvious fit and really what we are doing right now is we're focusing on upside underground potential at Filos, and then the improved recoveries we'd see if we put the plant there. So we're updating capital cost estimates. We're working through sort of strategic issues with where we go next with Filos and it would be a pretty good fit.
Charles Jeannes: But to answer the question, David, we need to do a thorough analysis and study to make sure that we understand the full cost of doing it and the benefit. So we're going to be thorough there.
Operator: The following question is from John Tumazos of John Tumazos Very Independent Research.
John Tumazos - John Tumazos Very Independent Research: Roughly, where do you think the range for next year's CapEx is going to be?
Charles Jeannes: Well, we haven't completed the budgeting yet. So I can't give you a number there. John. But we have said consistently that our sustaining capital just if you look at just the mines themselves runs in the $1.1 billion or so range .You heard, Russ mentioned earlier that there is some overflow of the capital spending at Cerro Negro that falls into 2015. We've got studies going on to advance the things that I talked about in response to the last question that all costs money. So I don't want to give you a specific number until we get through our budgeting, but it certainly going to be less than the $2.3 billion to $2.4 billion you saw this year and should be substantially so.
John Tumazos - John Tumazos Very Independent Research: Chuck, if I could ask one more, why is sustaining capital almost as large as depreciation?
Charles Jeannes: Well, I'll refer to Lindsay on why depreciation is what it is, but sustaining capital is just what it costs to keep these mines going at the rate that we want and that we strive for, and something that everybody I think understands. But sometimes when I'm talking to investors they forget that we're constantly trying to optimize these mines, and a lot of times, we come up with new ideas to enhance them, match some equipment; CEP project would be a perfect example at Peñasquito and so there is the need to continue to spend and invest in a mine as it ages, and that's where the sustaining capital comes from. It's not always just the number of truck replacements that you expected when you finish the feasibility study 10 years ago.
Lindsay Hall: John, a couple of other things from my point of view is that depreciation and inflation picks up, the fact we acquired from properties. And in the sustaining capital, on a go forward basis, the new mines will have very little cash sustaining capital, but the older mines will have higher sustaining capital and depreciation, which is taking your book value and dividing it by the reserves and ounces gives you on a per ounce calculation. So once booked, once acquired property, that's a depreciation. Sustaining capital, the new mines take a very little cash, and the older mines takes a little bit more. And in the cash side, you get underground and open pit and in the sustaining capital is a development for the underground mines. So does that helps you a bit.
Operator: The following question is from Anita Soni of Credit Suisse.
Anita Soni - Credit Suisse: With respect to Cerro Negro, could you just remind me -- actually also with Éléonore, how do you test for commercial production? What parameters are you looking at?
Russell Ball: There is a number, and we work closely with Lindsay group. The key one really, I think, from your perspective would be a design throughput or achieving throughput right roughly 70% of design. There are number of other factors, but I think one from an operating perspective that we focused mostly on is 70% of design, which in a case of Cerro Negro is sort of 3,000 over an extended period of, call it 30 days, so that's how we look. At the same time you need to get roughly the recovery rates you assumed in the feasibility studies. So the one we focused on again, 30 days of roughly 70% throughput through the mill provided the backend of the circuits are all working and you can get the recovery.
Anita Soni - Credit Suisse: And that's the same for Éléonore as well?
Russell Ball: Correct.
Anita Soni - Credit Suisse: And then just a question with respect to Peñasquito's grade. I think, we've talked about it a little bit. But do you think, sort of thoughts on what the grade would be at the beginning of the year are still valid? I mean, have you planned on using the stockpiles in the third quarter?
George Burns: I don't have that sort of detail by quarter, but I can tell you our stripping plan, our model performance were comfortable with the guidance we gave you for next year for Peñasquito and the stock piles are relevant. As Chuck stated, pushing those stockpiles out and replacing with high grade will give us little bit of upside, if anything.
Operator: The following question is from Michael Gray of Macquarie Capital.
Michael Gray - Macquarie Capital: Just a couple of questions on Red Lake. I just want to be clear that you seem to be sending a message that Red Lake will meet the original guidance set out in early 2014 of 440,000 ounces to 460,000 ounces?
Charles Jeannes: Michael, I'll just say we don't update guidance on a mine-by-mine basis. We're telling you that Red Lake is going to have a very strong fourth quarter, and that we're going to meet our guidance as a company. So, George, I don't know if you have any other color.
George Burns: I am just going to say, expect a really good quarter out of Red Lake relative to the prior there in. Overall, we'll hit our guidance.
Michael Gray - Macquarie Capital: And last question, just on HG drilling, five drills turning since September, it's a lot of drilling. Can you comment on the number of holes and amount of meters to date?
George Burns: I can't give you those explicit details. I can tell you we're seeing really exciting results. It's a high-grade target. We're seeing good thicknesses, good minable grades. And it's really about finding the extent of this thing and getting the development underground, where we can drill it at a more detailed level, and get a better understanding of it. So we are really excited about it. I don't have those stats right in front of me.
Charles Jeannes: Michael, as I said in my piece that as we normally do at yearend, we kind of take all the drilling results and then wrap them up either in an updated resource or reserve. And for something like HG Young, we'll certainly give you all the stats and our sense of where this thing is going more or so at the end of the year.
George Burns: Just got a number of meters, in one of our guides, it's about 50,000 meters drilled so far.
Operator: The following question is from John Bridges of JPMorgan.
John Bridges - JPMorgan: I was just following up on Greg Barnes's question, you detailed how you feel, it's going to be difficult for Camino Rojo gold production to be maintained. You have grown your production to a level where you generate increased cash flow, so you have choices now. Just wondered how that flattened into your expectations or full growth going forward, because probably it's going to be difficult for you to replace the quality mines, you've got at the moment from what you see in front of you?
Charles Jeannes: Well, I'm not sure how much more I can say, John, is that we do think that we have some very high-quality organic opportunities within the company to allow us to continue to grow. And I would caution that when we think of growth, we think of cash flow, not necessarily ounces. So we're looking and George and his technical services team are working very hard on our [indiscernible] programs to bring down those cost, so that we can drive increasing cash flow out of this basically the same production. And we've had good success with that, and we expect more success in the future. But we will have this free cash flow, and I think one of the things that investors invest in is management's track record in how they invest that free cash flow and how they allocate capital going forward. And hopefully we've shown that we can both bring on these construction projects as we say we will and that we've done a pretty good job, when we go outside and look for acquisitions. So going forward, we'll just continue to allocate that capital as best we can, and obviously with a goal of providing increasing value to our shareholders. So eyes wide open the whole time and try to make good sound decisions based on good data and understanding of our mines and projects.
John Bridges - JPMorgan: Do you expect that investors are less focused on growth now and more on cash flow and reliability?
Charles Jeannes: I think they are being told to be focused on that, because so few companies have growth. And so, look our production continues to grow very strongly from 2014 to 2015, then 2016, and then 2017, so we have some time here to continue to work on, where that next leg of success comes for us. So I would say to the extent that we can grow with good financial disciplined and making sure that we're not just growing for the sake of growing, but actually providing strong financial returns then we'll look to do that.
John Bridges - JPMorgan: You don't tend to conserve some of the growth and the quality assets you've got make them last a bit longer.
Charles Jeannes: Well, by definition, we don't have anything on the plate for this period from the completion of the big construction expenditures on these three mines, until we start something big such as El Moro or Camino Rojo. And I don't put those in any order for any reason. I could just easily take Camino Rojo and El Morro. So there will be a gap here, where we'll be generating free cash flow and strengthening our balance sheet.
Operator: Thank you. There are no further questions registered at this time. I'd like to turn the meeting back over to Mr. Jeannes.
Charles Jeannes: Thank you, operator, and thanks everybody for bearing with us during that technical delay. We very much apologize for that. And also I just want to say thanks to everybody, I know you're working extremely hard with all the companies reporting this week, and so taking the time to listen into our call, we very much appreciate that. So as I said earlier, this is an exciting time at Goldcorp with our growth projects now transitioning to operations, and we certainly look forward, as we've said to a strong finish to the year, and then updating on our progress early in the New Year, so thanks very much and goodbye.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time. And thank you for your participation.